Operator: Thank you for standing by. My name is Andrea, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q3 2024 Helix Energy Solutions Group, Incorporated Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Brent Arriaga, Chief Accounting Officer. Thank you. Please go ahead.
Brent Arriaga: Good morning, everyone, and thanks for joining us today on our Third Quarter 2024 Earnings Conference Call. Participating on this call for Helix today are Owen Kratz, our CEO; Scotty Sparks, our COO; Erik Staffeldt, our CFO; Ken Neikirk, our General Counsel; Daniel Stuart, our Vice President, Commercial; and myself. Hopefully, you've had an opportunity to review our press release and the related slide presentation released last night. If you do not have a copy of these materials, both can be accessed through the Investor Relations page on our website at www.helixesg.com. The press release and slides can be accessed under the News & Events tab. Before we begin our prepared remarks, Ken Neikirk will make a statement regarding forward-looking information. Ken?
Ken Neikirk: During this conference call, we anticipate making certain projections and forward-looking statements based on our current expectations and assumptions as of today. Such forward-looking statements may include projections and estimates of future events, business or industry trends or business or financial results. All statements in this conference call or in the associated presentation, other than statements of historical fact, are forward-looking statements that are made under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Our actual future results may differ materially from our projections and forward-looking statements due to a number and variety of risks, uncertainties, assumptions and factors, including those set forth in Slide 2 of our presentation, in our most recently filed annual report on Form 10-K, our quarterly reports on Form 10-Q and in our other filings with the SEC. You should not place undue reliance on forward-looking statements, and we do not undertake any duty to update any forward-looking statement. We disclaim any written or oral statements made by any third party regarding the subject matter of this conference call. Also during this call, certain non-GAAP financial disclosures may be made. In accordance with SEC rules, the final slides of our presentation provide reconciliations of certain non-GAAP measures to comparable GAAP financial measures. These reconciliations, along with this presentation, the earnings press release, our annual report on Form 10-K and a replay of this broadcast will be available under the -- for the Investors section of our website at www.helixesg.com. Please remember that information on this conference call speaks only as of today, October 24, 2024, and therefore, you are advised that any time-sensitive information may no longer be accurate as of any replay of this call. Scott?
Scott Sparks: Thanks, Ken, and good morning, everyone. Thank you for joining our call today. We hope everyone is doing well. This morning, we will review our Third Quarter and year-to-date results, financial performance and operations. We'll provide our view of the current market and update our guidance for 2024. Starting with the presentation, Slides 6 and 7 provide a high-level summary of our results and key highlights for the quarter. The team's offshore and onshore outperformed again, producing another well-executed quarter. Revenues for the quarter were $342 million with a gross profit of $66 million, which resulted in net income of $29.5 million. Adjusted EBITDA was $88 million for the quarter, and we had positive operating cash flow of $56 million, resulting in a strong free cash flow of $53 million. Our cash and liquidity remains strong with cash and cash equivalents of $324 million, and liquidity of $399 million. Our financial results were negatively impacted by the significant mobilizations for the Q4000 locations in Nigeria from the Gulf of Mexico and the Q7000 transferring from Southeastern Australia to the northwest of Australia. 105 days in total of accounting deferral of revenues and costs impacted the Q3 reporting. Additionally, we incurred higher-than-expected weather-related downtime of approximately 12 days in Shallow Water Abandonment due to hurricanes Francine and Helene. This caused an estimated revenue loss of up to $10 million without any significant reduction in our costs, resulting in a meaningful hit to our EBITDA. Highlights for the quarter include: arrival of the Q4000 in Nigeria to commence a 6-month contract plus options; strong results in robotics with high utilization, performing renewables works in 3 regions: transit of the Q7000 to Northwest Australia; and commencement of a final campaign in the region. Contracts in both the Siem Helix 1 and Siem Helix 2 are long-term 3-year contracts with Petrobras. Contracts in the Q5000 with Shell for a minimum 2-year 175 days per year commitment plus options in the Gulf of Mexico. We're excited that these new contracts had over $800 million of backlog in multiple years of committed utilization to our business. At quarter end, our year-to-date revenues were $1 billion with a gross profit of $161 million with resulting net income of $36 million. Year-to-date, adjusted EBITDA was -- sorry, it was $232 million, and we had positive operating cash flow of $108 million, resulting in positive free cash flow of $98 million. These key financial metrics are all improved over 2023 results. Over to Slide 9. Slide 9 provides a more detailed review of our segment results and segment utilization. In the third quarter, we continued to operate globally with minimal operational disruption with operations in Europe, Asia Pacific, Brazil, Africa, the Gulf of Mexico and the U.S. East Coast. Our overall third quarter results were in line with expectations, driven by our core Well Interventions markets globally, strong results of our Robotics group and Shallow Water Abandonments improved quarter-over-quarter despite the impacts of the hurricanes. Moving to Slide 10. Slide 10 provides further detail of our Well Interventions segments. We achieved strong utilization in the North Sea, the Gulf of Mexico, Brazil and Australia performing very well with a solid overall uptime efficiency of 99% for the quarter. The Q7000 performed extremely well with 100% utilization working in Australia. The vessel is expected to complete working in Australia shortly and then commence the paid transit to Brazil for the Shell decommissioning campaign, which has now been extended to a minimum 400-day contract. We had solid utilization for both units in the Gulf of Mexico with the Q4000 complete and paid transit to Nigeria for the SO minimum 6-month oil campaign that commenced earlier this month. The accounting for the paid transit impacted Q3 as the mobilization fees were deferred. Again, we are very pleased with the recently announced long-term contracts for both the Siem Helix vessels for Petrobras in Brazil and the Q5000 for Shell in the Gulf of Mexico. Moving to Slide 11. Slide 11 provides further detail of our Robotics business. Robotics had another very strong quarter. The business performed at high standards, operating 6 vessels during the quarter between trenching, ROV support and site survey work on renewables and oil and gas-related projects globally. All 6 vessels worked on renewables-related projects within the quarter, and all vessels had strong utilization with 3 vessels working on trenching projects. The GC III in the North Sea enabled trenching in Europe and the Siem Topaz trenching in Taiwan. The Shelia Bordelon worked on various renewable-related projects on the U.S. East Coast, and the [indiscernible] was deployed for the quarter on the U.S. East Coast, undertaking renewables related trenching from a client-provided vessel. Robotics is performing very well, and we expect them to have another strong year. Slide 12 provides detail of our Shallow Water Abandonment business. Q3 activities have always reflect seasonal improvements over Q2 for most of the asset classes. However, as noted, the business was impacted by two hurricanes during the quarter, leading to less-than-expected utilization, and the Shallow Water Abandonment business continues to experience a sluggish market in 2024. In Q3, we continued on the larger full field decommissioning project with the project utilized in the Epic Hedron heavy lift barge, some of the dive vessels, support vessels and few grids. Our Production Facilities segment was negatively impacted by the unplanned shutting on the Thunder Hawk field at the end of July, with production remaining offline. In summary, we had a very strong quarter, and it could have been even better, absent the mobilizations of the Q4000 and the Q7000 and the downtime from the web in the Gulf of Mexico during Q3. As previously mentioned, we entered 2025 with our newly contracted well intervention assets, come off legacy contracts and entering contracts with improved market rates with a good decree of secured work for the coming years. I'd like to thank our employees for their efforts, securing a strong backlog and delivering at a high level of execution. I'll now turn the call over to Brent.
Brent Arriaga: Thanks, Scotty. Moving to Slide 14. It outlines our debt instruments and key balance sheet metrics as of September 30. At quarter end, we had cash of $324 million in availability under the ABL of $75 million, with resulting liquidity of $399 million. In August, we extended the terms of our ABL and increased the size of the LC basket. Our ABL availability decreased in Q3 due to increases in our LC usage related to our Nigeria contract. Our funded debt was $324 million, and we have negative net debt of $9 million at quarter end. I'll now turn the call over to Erik for a discussion of our outlook for 2024 and beyond.
Erik Staffeldt: Thanks, Brent. Our team performed well in the quarter. Q3 has historically been our highest quarter, but was impacted by the higher transit and mobilization days and weather downtime. Nonetheless, our quarter results were in line with expectations, and our year-to-date results improved year-over-year. As we enter Q4, we do expect seasonal impacts to our operations, particularly in the North Sea, Gulf of Mexico shelf and APAC region. That said, we are tightening our guidance of certain key financial metrics from our forecast. Our revenue guidance is $1.3 billion to $1.365 billion. EBITDA, $280 million to $310 million. We have narrowed our EBITDA guidance. Our new range reflects our year-to-date actual results, including the impacts of weather events in the Gulf of Mexico shelf and unplanned shut-ins in our offshore production wells. Free cash flow, we are increasing our guidance to $120 million to $150 million. The improved cash flow outlook is driven by expected lower working capital outflows in 2024, and the range provided contemplates the variability in capital spending due to some spend possibly shifting to the right into 2025. We also note that our full year free cash flow guidance includes the $58 million impact from the earn-out payment that was made in Q2. Excluding that impact of the earn-out, our full year free cash flow range would be $178 million to $208 million. Capital spending, we are reducing our forecast to $55 million to $70 million. The lower end of the guidance is based on improved amounts moving into 2025. Our spend continues to be a mix of regulatory maintenance in our vessels and fleet renewal of our Robotics ROVs. These ranges involve some key assumptions and estimates and any significant variation from these assumptions and estimates could cause the results to fall outside these ranges. Moving on to Slide 17. As discussed, our fourth quarter results will be impacted by winter seasonal weather in the Northern Hemisphere. The variability in our fourth quarter guidance range is dependent on the length and extent of operations working into the winter season, namely in the North Sea, Well Intervention and Robotics businesses in our Asia Pac Robotics operations and in the Gulf of Mexico for Shallow Water Abandonment. We commenced our Nigeria work on Q4000 in October, and our fourth quarter results may be affected by the expected ultimate duration of that contract. And we expect variability on oil and gas production depending on the length of our Droshky wells into Q4. Reviewing our balance sheet, our funded debt stands at $324 million with no significant maturities until 2029. We are still targeting 20 million to 30 million share repurchases in our 2024 program, with 10 million done year-to-date. Providing some key assumptions for the remainder of the year by segment and region starting in Slide 18. First with our Well Intervention segment. The Gulf of Mexico continues to be a strong market for Helix. The Q5000 is contracted through the remainder of the year, and we -- minimum 175-day per year commitment on the Q5000 beginning in 2025. The Q4000 completed its transit to West Africa in September and went on hire mid-October for its minimum 6-month contract in Nigeria. With deferred mobilization revenue and costs on this project, our reporting will depend on application of accounting rules to the ultimate duration of the contract or other opportunities that would extend our operations in Nigeria. In the U.K. North Sea, we are anticipating a return to seasonally-adjusted utilization in the winter months and expect the Seawell and Well Enhancer will be utilized through midpoint Q4. Possibility of working later into the winter season provides upside potential within our guidance range. The Q7000 is currently working on its final project of this campaign in Australia, which is expected to continue through October, followed by a scheduled transit and mobilization with contracted work in Brazil expected to commence in early '25. In Brazil, the Siem Helix 2 has contracted into mid-December with Petrobras followed by vessel acceptance and mobilization for its new 3-year contract. The duration of that period in Q4 provides variability within our guidance range. The Siem Helix 1 is contracted performing abandonment work for Trident into Q4 of 2025. We expect to benefit from the Trident contract extension and Petrobras contracts an improved rates in 2025. Moving to our Robotics segment, continues to benefit from the tight market for both oil and gas and renewables markets are extremely active competing for assets. Our Robotics segment is affected by seasonality and activity levels in the North Sea and APAC are expected to be impacted by seasonality as usual in the winter months. APAC region, the Grand Canyon II is providing ROV support offshore Malaysia and the CM Topaz is performing renewables trenching offshore Taiwan, both expected into December. The potential for further work in December provides upside within our guidance. In the North Sea, the Grand Canyon III in the North Sea neighbor are performing trenching projects and are expected to remain utilized for the remainder of the year. The Glomar Wave is forecasted to remain on-site clearance operations through October. In the U.S., the Shelia Bordelon is off the U.S. East Coast, providing windfarm support expected into November and the potential for further work this year on the East Coast or Gulf of Mexico provide potential upside within our guidance range. Moving to production facilities, the HP1 is on contract for the balance of 2024 with no expected change. As mentioned earlier in the call, the Thunder Hawk wells are temporarily shut in, and we expect our Droshky wells will be shut in for approximately 5 to 6 weeks for facilities work to be conducted by the facility owner. Our forecast takes these shut-ins into account, but the duration of the shut-ins could affect our results going forward. Continuing Shallow Water. We continue to anticipate this to be a seasonal business with decline in investment activity in line with the winter weather arrival in the Gulf of Mexico. Our outlook range includes variability depending on the timing and extent of the winter season. Shelf decommissioning is a call-off business, but given customer needs, a continued reversion of properties for bankruptcy, long term, we still believe in the solid foundation for this market. At this time, I'll turn the call back to Owen for a discussion of our outlook beyond 2024 and for closing comments.
Owen Kratz: Thanks, Erik, and good morning to everyone. Things are good, and I'm pleased with Helix's results. Helix generated $88 million in EBITDA in Q3, its third largest quarterly EBITDA since 2014, and that's despite the slow Shallow Water Abandonment segment and the one-offs that were mentioned earlier. Helix is in great shape and positioned well for the future. Robotics is performing very well with foreseeable growth in the wind farm market for both trenching and site clearance. Abandonment and production enhancement demand in well intervention is strong and currently exceeding our capacity to supply. Shallow water is experiencing slow year as previously covered with results more negative than our initial expectations due to the softer market. Hurricane disruptions, the carrying costs we feel we need to keep in place in order to be ready for a rebound in 2025. As mentioned earlier this year, there was going to be, and there has been noise in our second half reported results, as Erik has covered. First, our hurricane disruptions impacted the Shallow Water to a greater extent than typically considered. Two, the extension of work for the Q7000 in Australia, although an overall positive is that lower legacy margin than the next contracted work in Brazil, which will now be deferred to start in early '25. The 67 days of mobilization of the Q4000 to its initial 6-month contract in Nigeria adds noise to Q3 reporting as the paid -- or the paid fees and costs were not recognized in Q3 but are amortized over the term of the contract. The Q7000 38-day transit and mobilization from Southeast Australia to Northwest Australia creates more noise due to the accounting treatment. Thunder Hawk production went offline July 28 and remains offline. There are always ups and downs in the business. Most of our business segments are executing as expected or better, offsetting these onetime impacts. We've tried to capture the net effects and the accounting treatment in our revised guidance. We reiterate the expected improvements in 2025, and we should see $60 million to $100 million increase in EBITDA for well interventions, continued performance Robotics and a rebound in Shallow Water. During the past quarter, there's been a couple of topics that have dominated the inbound questions from our investors. First, there was an anonymous story on potential M&A activities at Helix. As a company policy, we don't comment on rumors and speculations. As we've consistently communicated with investors, we recognize that our strong outlook, healthy balance sheet, evaluation of strategic growth opportunities and willingness to entertain M&A options will continue to generate market chatter. Second, there's been a significant messaging of a softer market for 2025 for upstream service providers. Helix has intentionally developed our business line to focus on the downstream segments of oil and gas, which are largely driven by OpEx rather than CapEx spending. As a result, we believe that the Helix model is more resilient in a softer market than most CapEx-dependent business models. Helix is also well positioned by having 4 of our 7 major assets already committed on 2- to 3-year contracts. Our Robotics business is primarily focused on the offshore wind market, which we feel is well positioned to continue to get stronger for us. A softer oil and gas market may actually not be a bad thing for us as we anticipate even stronger free cash flow generation for Helix with good visibility. The price point for capital allocation for growth may become better and more rational for full cycle consideration. Accounting noise and give and takes aside free cash flow generation for 2024 has been greater than expected. And recall that absent the alliance earnout paid back in April, our free cash flow for the year would have been even higher. There's been noise in the 2024 as predicted, but overall, Helix is moving directionally up and expected as we are looking into the 2025 year ahead. Thanks, and back to you, Erik.
Erik Staffeldt: Thanks, Owen. Operator, at this time, we'll take any questions.
Operator: [Operator Instructions] And your first question comes from the line of Jim Rollyson with Raymond James.
Jim Rollyson: Owen, it seems like you've got pretty good visibility now for well intervention going into next year given the recent contract signings and your mention of the $60 million to $100 million of incremental EBITDA. You've also been talking about the softness this year in Shallow Water Abandonment business relative to the really strong last year. What kind of visibility do you have going into next year on the improvement? Like how comfortable are you from just kind of -- how things have shaped out this year, how comfortable are you with that view on improvement for '25?
Owen Kratz: We're -- Jim, we're in the middle of our budgeting process right now, but I can tell you that the first pass, which is from our guys, we do a bottom-up budgeting and it is showing improvement over this year. If -- I'm trying to quantify things for you. We don't have a budget for you yet. But if you remember back when we made the acquisition, the expectations were somewhere around a $40 million, $50 million a year -- $40 million to $60 million a year. Last year was truly an anomaly. And we're -- I'd say we're definitely not going to reach that level, but the bidding activity that we're seeing is starting to pick up. The -- just the general activity this late in the year is actually picking up. So I would say that it's fair to say that we should be back in the range that we originally predicted as a typical range for this business.
Jim Rollyson: Got it. And that will be a pretty nice year-over-year improvement as well. So on the free cash flow part, I think a quarter or 2 ago, you talked about getting maybe next year north of $200 million. And now if you stripped out the earnout, you're basically on track to almost be there this year. How should we think about free cash flow next year in the context of the incrementals from well intervention and from shallow water and then maybe plus or minus the fact, I think Erik mentioned CapEx might actually some roll into next year. But like how are you thinking about the free cash flow next year? And then what are you thinking about doing with it?
Erik Staffeldt: So I'll take the first part and then pass it back to Owen. Obviously, we are bullish on our free cash flow generation, as we've talked about. I think overall, this year, we're definitely benefiting from some of the, you could say, the working capital flowbacks from our growth that we experienced back in 2023. And so absent any significant working capital fluctuations, we would expect definitely an improvements in our free cash flow next year. I think, obviously, the key elements that impact that. We talked about CapEx this year. In general, we've guided to about $70 million to $80 million of CapEx per year. I believe we'll probably be in that range. We'll still need to work through that. But we have the ability to manage within that range. I think our taxes will probably be a little bit higher as we become a U.S. taxpayer towards the end of the year. But we feel very good about our free cash flow generation. And I think we've talked about it being in that $200 million range for next year. And as far as uses for it, I'll turn that back to Owen.
Owen Kratz: Well, it would be easy for me to what I've said in the past is that we're first going to look for capital allocation for growth. We're going to continue our share repurchase program, and then the remainder would be a cash build. I would say that growth companies in a cyclical industry should be wary about extending their cash in up cycles and then look for the opportunity to deploy in down cycles. The recent market dynamics surrounding market sentiment towards a market softening here, sort of gives you pause and makes you start to think about is there going to be a rationalization and pull back in the pricing of potential growth capital allocation. That would have a major effect or an impact on our decision-making process. But we're always looking for the best allocation of capital that generates the greatest shareholder returns.
Operator: Your next question comes from the line of James Schumm with TD Cowen.
James Schumm: You mentioned in Shallow Water, the $10 million loss of revenues in Q3 without any really cost relief there. So just curious, is this -- will that benefit be deferred and recouped in Q4? Or will there be no impact to Q4?
Scott Sparks: So we won't be recouping any of those monies back. It was a pure hit in Q3. Unfortunately, the hurricanes that went through in the path of a lot of our work sites. So in that event in the Shallow Water, unfortunately, the contracts are set that the clients just put us off hire. So it was unexpected. As we move into Q4, at the moment, I don't see any hurricanes on the horizon. So hopefully, we're coming out of hurricane season, but we will start entering into the season in the winter mode. So we will expect that the work will drop off coming here in towards the end of October or into November, depending on when that normally blows come down into the Gulf of Mexico.
James Schumm: Okay. And then can you give some more color on -- it looks like you're going to have shut-ins on the Droshky and the Thunder Hawk fields. Can you help us quantify the EBITDA from Droshky and separately Thunder Hawk?
Erik Staffeldt: So on -- from the Droshky standpoint, Jim, we expect it to be shut in here until early to mid-November. So it's, let's say, 5 to 6 weeks. So it's -- from that standpoint, it's not a very significant hit. I think the Thunder Hawk, once again, I think right now, we're undertaking investigations into that. And so we are in our assumptions assume no production from that, and that is at least a couple of million dollars for the quarter.
James Schumm : And then just like a housekeeping one. Like how many well intervention vessel transit days do you expect in Q4?
Erik Staffeldt: So in Q4, the -- we completed the transit and mobilization on the Q4000, so we went on hire early to mid-October. So there'll be a few days there. And then the Q7000, once it completes its Australia work end of October, early November, essentially will be in transit mode for the rest of the quarter into Q1.
James Schumm: So that's like 60-ish days?
Erik Staffeldt: On the...
James Schumm : Sorry, I didn't hear you, Scotty, how many?
Scott Sparks: 63 days is the current plan.
Operator: Your next question the line of David Smith with Pickering Energy Partners.
David Smith: Owen, I just wanted to circle back to your remarks about the topics of investor interest. We're also seeing that growing concern about a softening deepwater market, potential pricing pressure on the sixth generation fleet. And I got to think some of that concern has impacted your stock price with a perception that sixth-gen rig pricing competition could impact your business next year. So I just wanted to ask, am I wrong thinking that less than 20%, probably of your heavy well intervention vessel availability is actually open next year and probably less than half is open for '26?
Scott Sparks: I'll take that. So the Q7000, as we know, will be on the Shell contract for a minimum 400 days of options. The Q4000 will be 6 months with options -- sizable options in Nigeria on a good contract. The SH1 will be with Triton and then we'll transfer over to Petrobras on a 3-year contract at much improved rates. And the SH2 will transfer over here in January from the existing contract with Petrobras to the new 3-year contract with Petrobras at much better market rates. So that only really leaves us a bit of time to find on the Q5000, which is contracted with Shell for a minimum 175 days, and we already have work booked into that. So I see we have virtually no time left next year on the Q5000. The North Sea vessels, they are already spot-related assets that we see. We expect that we will warm stack at some point in the winter, and then we'll get going again in Q1 and should have a strong summer through -- for the summer months and through Q2 and Q3 for both of those assets also. Again, back to seasonal activity is the best way to think of it in the North Sea right now. But the heavy assets are all contracted at good contracts with much improved market rates at 2025.
David Smith: I appreciate that. It is remarkable how those vessels have turned up, certainly a different contracting trajectory than the sixth-gen clutter we have seen this year. I wanted to ask if you're having real discussions on your '26 availability for the heavy well intervention assets? Or do you see a likely return toward the spot market activity?
Scott Sparks: In 2026, so -- this sixth-gen we contracted up. We'll be working with Shell on the Q7000 in Brazil, and they have good options and showing the high visibility of further work for '26. The Q5000 will have its Shell back line contracts, so that's in good shape. And we have to decide whether we think the Q4000 in Africa will come back to the Gulf. But if we do come back to the Gulf that will be more spot activity. With Shell taking the Q5000, that gives us a good backstop for ever contract and keeping the other clients happy with the Q4000.
Operator: Next question comes from the line of Josh Jayne with Daniel Energy Partners.
Josh Jayne: First, I wanted to just talk about the robotics market as we look at what you guys have been able to achieve over the course of this year and looking forward. So chartered vessel utilization in the mid-90s, ROV and trenching utilization in the high 70s. You haven't talked as much into '25 as you have with respect to the well intervention market. But I'm just curious, could you talk about the visibility you have for the robotics business today into next year and beyond? How many of the assets are essentially spoken for, for next year? Maybe just a little bit more detail around that business.
Scott Sparks: So currently, we have 6 vessels working in Robotics. We expect to go to stay with 6 vessels next year. I would say we have probably the best visibility we've ever had in trenching. We are undertaking tenders out to 2028 and 2030. We have contracted work through '26 and into '27 for trenching, and trenching is the niche parts of the Robotics business. The market is tight from a renewals perspective. It's also tight from an oil and gas perspective. Nobody over the last few years has built any ROV. So there's actually a shortage in the market for ROV services, both in renewables and oil and gas. So I would expect to see continued similar utilization for robotics and hopefully a better outlook in trenching and increased rates for trenching also.
Josh Jayne : And then I wanted to double back to one of the comments that Owen made about sort of free cash flow and ultimately, what to do with it, as I assume it's going to get a lot more interest as we -- as you guys move forward into next year with just the strength of all of the businesses improving including the most in well intervention. Just when you talk about that free cash flow number, first, is there any reason that CapEx should deviate from what you guys have been spending in the next couple of years? And then second, when you look around and opportunities to grow, what are the types of things you would look to potentially add to your -- to the portfolio? Are there opportunities to convert another maybe an idle asset into an intervention vessel or something of that nature? Or would it be something else in the offshore space?
Owen Kratz: Well, quite a question. No, I think as far as the opportunities go, I think there's -- our visibility is for increasing demand in each one of the niches that we occupy right now. So there is opportunity. Scotty mentioned the growth in the trenching market. So I do see the potential of adding capacity there. The Robotics segment, there's a potential of adding capacity there. In the Shallow Water Abandonment, we're sort of in a wait and see and let the market prove itself that it's going to be as strong as we anticipate but there's a potential one of the strategic reasons why we made the acquisition in the Gulf of Mexico was because we also saw a nascent market in Brazil and Australia. So -- and we're actually tendering for some work in Brazil. So there could be an opportunity to deploy capital to enter that new market. And then the big one, more intervention capacity. Right now, I have told the market, we're probably -- we -- through the downturn, we were probably a 1.5 vessel too heavy and now we're probably a 1.5 vessel too light. There is the opportunity for work right now, but I think you have to look long term through the full cycle. And the pricing expectations on assets in recent years really exploded from where they were 3 years ago. So I think you have to be patient. But if a client comes to us and wants our services and they need a vessel, then for the right contract, we'd consider it.
Erik Staffeldt: As far as managing CapEx, I think we feel comfortable that for our existing assets to be able to manage within that $70 million to $80 million range, obviously, there will be variability in there, but I believe we feel comfortable in that range. Of course, that doesn't include any growth opportunities that Owen has addressed.
Operator: And your next question comes from the line of Greg.
Unidentified Analyst: Scotty, it's good to see that the Q4 up and running in West Africa. You called out those options on that unit. What kind of sense do you get for the lead time for when they need to exercise those options just as you continue to play in the outlook for the Q4?
Scott Sparks: I think there's a good chance that what portion of the options will be taken, but I don't think we'll have that firmed up until Q1 of next year.
Unidentified Analyst: Okay. Great. And then just as we think about that, the mobilization time from Gulf of Mexico was about 30 days?
Scott Sparks: So all up, I think it was about 67 days. We had to take the vessel to the dock and vessel partner and security that before we actually set off that we -- we did get paid -- or we usually get paid quite a good number for that mobilization to Africa.
Unidentified Analyst: And there's a demob too, right?
Scott Sparks: Yes. It's a sizeable demob as well.
Unidentified Analyst: Okay. And then on the Robotics side, I guess maybe I didn't appreciate how -- I mean -- and I guess you'll lay it out pretty clearly. How much of the business is renewable versus an traditional oil energy? Any kind of split you guys can talk about in terms of revenue of Robotics between what that mix is?
Scott Sparks: I'll hand that over to Brent.
Brent Arriaga: Yes. On the robotics side, renewables typically is about half of our Robotics business, which is about 20% of the company. So you're looking at about 10% overall.
Unidentified Analyst: Okay. And does that -- and then like just as I think about robotics, like the -- I guess they're all assets, but between the -- is it safe to kind of assume like the trenchers are largely all renewable?
Scott Sparks: Yes, that's a good assumption. And we're seeing the trenching market not only expand in Europe, but also in Asia Pacific and the U.S. East Coast as well.
Operator: And your final question comes from the line of David Smith with Pickering Energy Partners.
David Smith: In your presentation, there's -- the comments about well intervention rate increases expected to increase 25 EBITDA by $60 million to $100 million versus '24. I'm sorry if you touched on this and I missed it, but could you please talk a little about the factors impacting that range?
Erik Staffeldt: And so obviously, I think the big issue has been the -- or the big impact is the new contract that we announced here in the third quarter. I think we talked about rate improvements over what we've realized to date in '24 with those new contracts in Brazil, approximately 40% higher in '25. And with the Shell contract, what we're able to realize is approximately 20% higher rates than what we're able to deliver this year. So those are big components of it. Also that we've talked about the Q7000 working in Brazil. From that standpoint, I think that's one where we expect to generate better margins on that vessel than what we're generating today under the contracts in the APAC region.
David Smith: I understand that because of the factors behind the increase, I was just thinking about that $40 million range of that comment about '25 EBITDA up by $60 million to $100 million. The factors impacting that $40 million range.
Erik Staffeldt: So obviously, I think at the end of the day, overall utilization impact on that would impact it as well. Also the -- you could say that mobilization period on the Q7000, if it starts early January, obviously, that would be a lot higher than if it starts in March. And so there are give and takes as far as when the assets are working that are built into that assumption of $60 million to $100 million.
David Smith: Very much appreciate it. If I could slip one follow-up. And circling back to the question about the Q4000 option being exercised. I was curious if you've seen interest in the Q4000 for work in West Africa beyond the firm contract and option? And if so, are there any reasons that you might not keep the Q4000 in West Africa for an extended period?
Scott Sparks: I'll take that. But obviously, the other clients in the region are aware that we're there in Nigeria working away now. So it's not often an intervention vessel goes over to Nigeria. So there's a good degree of interest with 2 or 3 other operators after the Exxon contract. But we have to be mindful of what we want to do in the Gulf of Mexico, with Shell taken the Q5000 with its backstop contract. We don't want to lose the market share in the Gulf of Mexico with clients that we've had for a long time as well. So it will be about how busy the Gulf is compared to the other works that are offered to us in Nigeria.
Owen Kratz: This is where I would circle back to my comment that we're a 1.5 vessel short of the meeting the demand that we have right now. We've taken the Q4000 to West Africa. There is a strong market there. We haven't even started to penetrate Angola yet. Guyana is on the horizon of needing well intervention assets down there. And of course, we're taking an asset out of Australia, which is there's also demand built up down there. So that's where it's very easy for me to say that we're a 1.5 vessel short from being able to meet the demand that we're seeing.
Operator: And your final question comes from the line of James Schumm with TD Cowen.
James Schumm: I just want to ask like what is driving the lower EBITDA guidance this year? There's a number of things that I could point to, but I just want to see what -- how you guys are framing that.
Erik Staffeldt: In reference to our guidance for full year, essentially the fourth quarter or...
James Schumm: Yes. Yes. I mean the '24 EBITDA guidance is lowered at the midpoint, $5 million. So what's driving that? Is it 3Q weakness? Is it -- I'll let you answer. There's some incremental weakness in Q4? What do you point to?
Erik Staffeldt: So obviously, I think overall, obviously, we did have some negatives that impacted us in the third quarter, in what was overall still a very strong quarter for us. I think the -- we talked about the weather impact there. And obviously, that flows through to our overall guidance and of course, the shut-in in production. And then I think overall, we still have a fairly wide range for the fourth quarter, Jim, and that really is driven by really the timing of when the seasonal impact will hit our assets in the Gulf of Mexico and in the North Sea. So those are the variables. I think some of the one-offs that hit us in the Q3 obviously flowed through to the overall year. We have the ability to make that back if our seasons go longer than what we're anticipating, but that's all built into the range that we've provided the market.
James Schumm: Got it. And then just last one for me. Scotty, you mentioned that the ROV market is very tight. I was just wondering, could you give me a sense of like where you see ROV pricing this year? And like is it up 10%? Or -- and then what are your expectations for next year?
Scott Sparks: I think we will see a tightening of the market. The rates have certainly increased over the last 18 months to 2 years. The tenders that are going out currently still have increases in them. So I'd say if the market stays tight, we should see at least a 10% increase in ROV and personnel that go up. On the trenching side, we're certainly increasing the rates. The rates have increased, I'd say, 15% going into next year. And then some of the tenders that we look to further on, even higher. But obviously, we will have some cost creep as we expand that into those years as well. There will be additional crewing costs and stuff as we go further around.
Operator: There are no questions at this time.
Erik Staffeldt: Thanks for joining us today. We very much appreciate your interest and participation and look forward to having you on our Fourth Quarter 2024 Call in February 2025. Thank you.
Operator: Thank you. Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.